Operator: Good morning, ladies and gentlemen, and welcome to the Perrigo Second Quarter 2021 financial results Conference Call. All participants will be in a listen-only mode. [Operator Instruction] Please also note today's event is being recorded. At this time, I'd like to turn the Conference Call over to Bradley Joseph, VP of Inventor Relations and Communications. Sir, please go ahead.
Bradley Joseph: Thank you. And good morning, everybody. And welcome to Perrigo Second Quarter Fiscal 2021 Earnings Conference Call. I hope you all had a chance to review the press release we issued this morning. A copy of the earnings release and presentation for today's earnings discussions are available within the Investor section of the Perrigo.com website. Joining today's call are President CEO Murray Kessler, and CFO Ray Silcock. I'd like to remind everyone that during this call, participants will make certain forward-looking statements. Please refer to the important information for Shareholders and investors and Safe harbor language regarding these statements in our press release issued earlier this morning. A few notes before we start. First, unless stated, all financial results discussed and presented are on a continuing operations basis. They do not include any contributions from the RX business, which is accounted for as discontinued operations in the second quarter. In addition to other non-GAAP adjustments as described in the appendix, adjusted profit measures, including adjusted EPS and adjusted operating income, exclude from both periods, certain costs incurred to support the operations of the RX business, which are reported in continuing operations. See the Appendix for additional details and reconciliations of all non-GAAP financial measures presented. And second, organic growth excludes acquisitions, divestitures, and currency in both comparable periods. With that, I'm pleased to turn the call over to Murray.
Murray Kessler: Thank you, Brad. And good morning, everyone. Self-Care continues to be front of mind for our consumers and customers. And now that our portfolio configuration to a pure-play consumer Company is complete, we believe Perrigo is in a great position to capitalize on this trend. I'm proud of how the Perrigo team has successfully adjusted during these challenging times, which have impacted channel dynamics, sales mix, input costs, and consumer behavior. The good news is that the business and markets we're in are normalizing with sharp rebounds and consumer takeaway, as the world is slowly and steadily reopening. Barring a broad scale step backward due to new COVID-19 restrictions, I believe Perrigo's broad diversity of product lines and geographies has helped the Company, weather this unprecedented storm. Let's look at the metrics. Perrigo's net sales for the second quarter were $981 million, 3.4% higher than a year ago with organic net sales up 0.5%. Second-quarter growth came despite comparison to the prior-year demand surge in April. And the residual impact of this year's historically weak, cough/cold season. A couple of big takeaways on net sales. It was a solid quarter for all of our businesses XP impact of cough/cold and customer inventory adjustments, which I'll detail in just a moment. The rest of the portfolio and favorable currency covered the entire negative impact of those two issues. And the quarter got stronger and stronger as it progressed, lead by a strong consumer takeaway. This top-line growth did not translate to earnings growth for three reasons. First, advertising and promotion. As you will recall, our teams pulled almost all A&P spending in last year's second quarter as the world locked down. There was no point in advertising to empty shelves in Q2, and in the face of massive uncertainty, we prioritize liquidity. That spending was moved to the fourth quarter last year to preserve it. This second quarter, 2021, we deliberately returned that branded advertising and promotional support to its pre - COVID levels, where it has always been and where it is most effective. This along with higher R&D negatively impacted the Q2 earnings by $14 million excluding currency. Second, we had unfavorable plant overhead absorption in the quarter as a consequence of the historically low cough/cold season. And third, input costs, including freight, distribution, and commodities to name a few rose quickly during the quarter. The team did a great job offsetting these inflationary costs with our project momentum cost savings and pricing actions in the quarter. But as a result, the planned savings did not pass through to the bottom line the way we had planned. They will when its input cost normalize. All these factors, in addition to the impact from divested businesses, led to EPS of $0.50 per share, $0.09 below year-ago. While the adjusted EPS was lower than we were looking for, we will get back the A&P impact later in the year. And we believe the COVID-related headwinds are temporary. Most importantly, our business remains strong and is getting stronger. As I said earlier, once we lapped the prior year's pantry load and exited the cough/cold season, we experienced higher growth and strong sales momentum across our businesses. With organic growth of plus 1.7% in May, and organic growth of plus 4.2% in June. We expect this strength to continue into the second half of this year, especially as we compare against weak comps from the prior year's second half and historically weak [Indiscernable] This sales momentum that we observed occurred in both CSCA and CSCI. Despite the impact from cough/cold in the quarter and last year's demand surge, CSCI delivered strong Growth, strong performance in our Self-Care brands that were impacted last year by country lockdown amid the pandemic outbreak drove the results. CSCA experienced a more pronounced headwind from cough/cold, and CSCI as a result of trade inventory adjustments, which I'll also show you in just a minute. But the sales momentum throughout the quarter was also evident here as the cough/cold headwind from the prior year waned in May and June, performance in CSCA increased outside of cough/cold organic net sales in the quarter grew 1.3%. Ending the quarter with organic growth of nearly 4% in June gives us confidence in our topline expectations as we head into the back half of the year. I think it's worth repeating, all of our businesses grew in both the Americas and international compared to last year, except for, as I mentioned, U.S. OTC. As I said, the strong CSCI performance in the quarter was led by our Self-Care brands, many of which were negatively impacted at the height of the pandemic one year ago. These Self-Care products, including weight loss, sun and skincare, and oral care, were up 6% excluding currency. The loosened pandemic-related restrictions across Europe and new product launches, timed with the return of brand advertising and promotion investments, were the big drivers of the performance. Cough/cold was still a headwind for CSCI in the quarter. And while the cough/cold season across Europe will likely be lower than normal as pharmacies take a wait-and-see approach to the season, we expect a strong second half for CSCI. Within CSCA, growth in oral care and nutrition were very strong in the quarter, up 17.9% and 10.7% a year ago, respectively. Oral care was driven by POS strength at retail as consumers returned to in-store purchases for their oral care needs and sales of travel-related toothbrush kits increased with the return of travel in the U.S. Nutrition had a great quarter. We launched the first national brand equivalent infant formula for babies with colic. Sales of our electrolyte hydration drinks are increasing due to consumer buying behavior. And our third-party infant formula contract partners are taking share from other national brands. The strengthening of our business throughout the quarter reflects a sharp rebound in consumer purchasing in the U.S. and Europe. This was exactly what we were looking to see. As you know, consumer takeaway is always the leading indicator for factory shipments. The one exception as I mentioned, was OTC in the USA, where the rebounding consumer takeaway far outpaced shipments. That's unusual, and we attribute this to factors in both this year and last. Last year, there was a significant restocking of retail shelves and inventories that were wiped out earlier due to the pandemic-related demand surge that didn't reoccur this year. This year, the opposite happened. Retailers had excess inventories of cough/cold products due to the low demand this season, and they appear to be a bit more conservative buying in at normal levels going into the next cough/cold season. So as you see on Slide 10, our shipments were outpacing consumer takeaway for the better part of last year. The good news is that this trend reversed itself in the second quarter. And since April 2021, Perrigo consumer takeaway is now cumulatively outpacing Perrigo factory shipment. So shipment should begin to realign with consumer takeaway. And to be clear, consumer takeaway for store brands in the OTC categories we compete in, aren't just up, they're up significantly, growing 12.4% over the last 13 weeks versus year-ago. This is true for each of the individual categories for the latest 13 weeks, as shown on the chart on the screen at the moment. So on a year-to-date basis, it once again appears that shipments and consumer takeaway have come into alignment as the 10.7% decline in consumer takeaway aligns with the 11% decline in Perrigo OTC shipments. But the fact that we're exiting the quarter growing, we are growing robustly along with the apparent alignment should translate into strong second-half growth. Especially encouraging to see was the sharp rebound that has also occurred in cough/cold, with consumer takeaway of our cough/cold products up 34.6% for the quarter. That's good news, and seems to make sense as the incidence of cough/cold illnesses continue to trend above the prior year according to the most recent IQVIA data. This also supports a stronger upcoming cough/cold season than the prior year, which is essential to our second-half projections. Turning to guidance. Through the first half of the year, we're a bit behind, but we have many second-half tailwinds. Consumer takeaway has rebounded sharply in the U.S. and Europe, including, and this is important, including U.S. OTC. Sales momentum realized through the second quarter is expected to continue into the second half of the year compared to the prior year's second half pantry. The upcoming cough/cold season is expected to normalize compared to the historically weak prior season a year ago. Retailer inventories have come down and consumer takeaway is now accumulatively above our shipments. While we cannot precisely predict retailer Inventory behavior, this data suggests the major portion of the Inventory Headwinds should be behind us. We've taken several pricing actions that have been accepted by retailers given the global inflationary environment, and those will help as well. And the divestiture of the Latin American businesses, which would have been a $50 million headwind in the second half, is now expected to be offset by sales to our former RX business, which is now a major contract customer. And finally, we expect strong momentum from new products in the second half, all these factors support higher net sales in the second half, thus allowing us to reaffirm our revenue guidance. We expect this robust top-line performance along with lower variable expenses, specifically, the Q4 reduction in A&P I referred to earlier, and productivity improvements to generate strong second half adjusted EPS Growth. Although for the full year, we will be shy of our operating growth, income growth target of 5%, to the -- due to the already realized lower volumes in the first half and higher input costs in the second half. So we expect our adjusted EPS within our original range. But towards the lower end of the 250 to 270 per share. To be clear, this EPS guidance is before we put any of the nearly 2 billion in cash we have at our disposal to work. Now let's turn to the efforts to restore certainty to our business in your investment. Over the last few months, we have made substantial progress on reducing uncertainty in the Irish tax NoA. For those of you less familiar with this dispute, Perrigo received a notice of assessment of EUR1.65 billion at the end of 2018 following an audit of a 2013 tax return for Elan, the Company Perrigo subsequently merged with. The assessment relates to the tax treatment of Elan's sale of its Tysabri drug. It asserts that intellectual property sales transactions were not part of Elan's trade. As a result, the notice argues that these transactions should have been traded as chargeable gains subject to a 33% capital gains tax, rather than the 12.5% applicable to trading income. Perrigo maintains that Elan filed correctly. on July 13th, we filed 8-K saying that after an extensive exchange of information, we received written confirmation [Indiscernable] revenue, that based on the information that they have now, that they didn't have back in 2018, they would not object if the tax of deals commission adjusted the amount of the assessment to less than 1 billion euros equating to a reduction of at least 40% from the original 2018 assessed amount.  And to be clear, this was agreed to without revenue conceding any point, they use the same methodology that they've been using all along, with that more current information. So this is not any discussion or settlement, it is just a restatement of the high-end of the range. As I said in the interview within the Irish Times, even though we still believe that Elan filed correctly and that ultimately, in a long-drawn-out battle, we will win, we believe the right thing to do right now is to settle this case at a number that makes sense that can be accomplished. But the starting point for any negotiation would be from this new lower starting point. And then from that point, we either come to a shareholder-friendly settlement through our ongoing discussions or we will proceed to the Tax Appeals Commission hearings to be held this November, where we strongly believe in our position. We also completed the sale of our generic RX business this quarter in July. This completed Perrigo's transformation to a pure-play consumer Self-Care leader. We were able to announce and close the sale within four months. A great effort by many in the organization to make this happen so quickly. And as I said, we'll have nearly $2 billion at our disposal to drive shareholder returns and accelerate our growth. Our priority is to be acquisitive going forward and put this cash to work. This is a big value-enhancing opportunity for Perrigo, but it's got to be done with discipline. And it has to be done within our 5 areas of focus. A North American-based investment would likely center around private or value labels, a European-based investment would likely center on branded assets. Ultimately, any acquisition would need to be both revenue and margin accretive and deliver a return above our weighted average cost of capital. We have a strong track record in this area and see it as a huge value creation opportunity. So in summary, we have momentum and some tailwinds heading into the second half of the year. We've made significant progress to reduce uncertainty for shareholders and are looking to put our balance sheet to work with accretive acquisitions. Perrigo's pure-play consumer business model is highly defensible. Our Self-Care solutions are differentiated and on-trend. Our portfolio offerings are well diversified across categories and geographies. We have world-class consumer industry talent and our business fundamentals are extremely adorable. With that, I will now turn the call over to our CFO, Ray Silcock, to discuss our financial results in more detail, Ray.
Ray Silcock: Thank you, Murray. And good morning, everyone. Before we get into the quarterly results, I would like to echo Murray's comments on the strong business trends we saw develop during the second quarter. Although we experienced some turbulence this quarter, which made for a difficult comparison to the prior year, as Murray explained earlier, I too remain encouraged by the sequential monthly top-line Growth trends. We had improved Growth versus the prior year in each month of the quarter. In addition, we saw a continued normalization of consumer takeaway in the quarter. This is not an easy operating environment, but our team performed exceptionally well in managing the various and evolving trends across our businesses. I would like to thank all our colleagues for their dedication and continued efforts in driving our business forward. With that, let's take a look at our second-quarter results. As a reminder, all the figures presented today are from Perrigo's continuing operations and exclude the RX business, which was divested on 07/06. The RX business was accounted for as discontinued operations in the second quarter. On a consolidated basis, the Company reported a GAAP loss from continuing operations of $112 million for the second quarter of 2021 or a loss of $0.84 per diluted share. On an adjusted basis, consolidated Net Income from continuing operations was $68 million, and adjusted diluted EPS from continuing operations was $0.50 a share, a 15.3% decline compared to the prior year. The adjusted EPS decline versus the prior year is primarily because we reinstated advertising and promotion spending in the quarter to pre - COVID-19 levels. Lower cough/cold volumes were partially offset by strong performance across the balance of our Portfolio, while unfavorable overhead absorption was offset by operating expense reductions. We also had a higher effective tax rate in the quarter, 23% as compared to 18% in Q2 last year. Last year's adjusted ETR was favorably impacted by the passage of the CARES Act. Non-GAAP expense adjustments of $179 million included impairment charges of $159 million, primarily from the Health for Sale Latin American business. $54 million of amortization, which we always add back, $13 million of unusual litigation expenses, and $9 million of restructuring costs.
Ray Silcock: Non-GAAP adjustments to the tax rate for the quarter include the $11 million of tax expense arising from the pre-tax non-GAAP adjustments, 62 million from the intra-Company transfers of intellectual property as a result of the RX divestiture, as well as the effective evaluation allowance release in the U.S. Full details of these and other adjustments can be found in the non-GAAP reconciliation table attached to this morning's press release. From this point forward in this presentation, all dollar numbers, basis points, and margin ages will be on an adjusted continuing operations basis, unless stated otherwise. Since Murray has already covered net sales for the second quarter, I will begin with our gross profit.  Consolidated gross profit was $4 million higher than the prior year, primarily due to favorable currency translation, partially offset by adverse plant overhead absorption. Increased material costs, including resin and inbound freight, would largely be offset by pricing and procurement actions taken in the quarter. Consolidated Gross Margin for the quarter was 38.4%, 90 basis points lower than the prior year, primarily due to that lower overhead absorption, and also to a less favorable product mix as compared to last year. Consolidated Operating Income for the quarter was $118 million, 14 million below the prior year, primarily driven by the reinstatement of the advertising and promotion spend. Now let's turn to the segment results, starting with the CSCA. Gross profit in the quarter the CSCA of $197 million was 9 million lower than the prior-year as the impact of new product introductions and a strong performance in oral care, were more than offset by lower plant overhead absorption and lower sales in OTC, as well as by raw material cost inflation. Procurement actions helped offset increased freight, enrollment serial costs. Importantly, we were able to take some pricing in the quarter and overall CSCA pricing was held flat to the prior year, Lower plant overhead absorption was the primary driver of 120 basis points margin decline in the quarter. Operating income was $107 million, 17 million lower than the prior-year due to unfavorable gross profit flow-through and higher Operating expenses, including customer freight, and investments in A&P and R&D this quarter. Moving onto consumer Self-Care International, CSCI's gross profit was $179 million up to $13 million from last year, an 8% increase. Favorable currency translation and proactive pricing and procurement actions in the quarter, combined to more than offset higher input costs, reduced volumes, and the impact of the Rosemont divestiture. Adverse product mix, primarily, higher growth in lower margin categories, such as pain, the cough/cold, led to our 180 basis point decline in gross margin versus last year. Operating income was $47 million, $3 million lower than the last year, as gross profit flow-through was more than offset by an increase in operating expenses, primarily driven by adverse currency translation impact. and by the reinstatement of our advertising and promotion spending to pre - COVID-19 levels. Moving now to the balance sheet and operating cash flow. Consolidated cash on the balance sheet at the end of the second quarter was $336 million, down $145 million from the $491 million cash balance at the end of the first quarter. This decrease was driven by 3 primary factors. $100 million in various RX-related tax payments with no P&L impact. $60 million in investing and financing activities, including Capex, all offset by cash collected during the quarter. Importantly, we believe that our goal of 100% operating cash flow conversion for the full year is achievable based on the positive business trends we see as we exit the second quarter. These include increased consumer takeaway, as well as monthly sequential sales volume increases. I would like to note that our $336 million of cash for the second quarter balance sheet does not include the 1.5 billion in proceeds from the sale of the RX business, which closed after the quarter ended. In conclusion, our second-quarter results represent the tremendous efforts made by the entire team as we continue to navigate through a challenging business environment. The positive trends we saw during the quarter, including increased consumer takeaway and growth momentum across our businesses, give us confidence in our strong second top expectations. Operator, can you please open the line for questions?
Operator: Ladies and gentlemen, at this time, we'll begin the question and answer session. [Operator Instructions] [Operator Instruction] Our first question today comes from Elliot Wilbur, from Raymond James. Please go ahead with your question.
Elliot Wilbur: Thanks. Good morning.
Murray Kessler: Good morning, Elliot.
Elliot Wilbur: Good morning. The first question for yourself, Murray, just want to go back to some of your comments in connection with first-quarter results and specifically looking at your expectations for the recovery of cough/cold based on the IQVIA FAN data, assuming you're still relying on that tool to gauge your expectations to some extent, I wanted to know if there's been any meaningful change in IQVIA 's outlook for second half volumes. And given that they had expected such a significant increase, I think they expected volumes to roughly double in the current year cough/cold season versus last year. Wondering if even your guidance was indicated to be conservative. You're still looking for recovery of roughly half that. It still seems like a significant increase in volumes versus what we're currently seeing. Just want to know how good your line of sight is into customer orders for the balance of the year? Or do we really need to see these actual cough/cold numbers turn in terms of incident rates?
Murray Kessler: Well, I think you rightfully characterized it a little bit complicated. I think all the IQVIA numbers versus the first quarter are trending right in the same direction. The bigger issue, Elliot, for me is, our consumer takeaway numbers and our shipment numbers are normally within a point or two of each other. Look at the second quarter, our cough/cold consumer takeaway was up 40% and our actual factory shipments were still down. I don't have the exact number in front of me, but 30% or something like that. It's like a 50 or 60 point swing, which is unusual. And again, when you're looking at shipments versus consumer takeaway, they always come back to it, always. There will be periods of time when it's up and down and that's what I tried to show in that one graph. There was a period of time when our shipments were outpacing consumption, they caught up, and now it's reversed itself. And consumption, fortunately, is leading the way. So to make our projections the way the consumer takeaway is trending, then we'll hit our projections easily. I'm not going to say there's upside at this point, but it's -- our consumer metrics on all of our businesses are exactly what we forecasted. The lag in shipments is coming back a little slower than looked like some inventory adjustment. And it feels like, when you look at it cumulatively over the past 7 or 8 months, they've now come to -- pretty darn close to even. Other factors, they -- will there be -- the buy-in be as high, or there -- will there be a little more caution? But that could result in the retailers, that it's a good cough/cold season, scrambling to order more later on. So we'll see how it plays out. But this has been a heck of a ride for the last two years, and we're still trying to get back to normal and manage our way out of what's been a lot of volatility, and certainly a dynamic marketplace.
Elliot Wilbur: Okay. And if I could follow up that question and your response with just a query into the reduction in overall customer inventories. Was it pronounced in any one channel more than another? And on the RX side of course you -- most companies have fairly good insight into Inventory held by the big 3. Imagine that's not necessarily true for you guys, but how good is your line of sight into actual inventory levels that your biggest Brick-and-mortar customers?
Murray Kessler: Well, two things that -- we're normally very good as well, but it is not normal times. So normally, you're just looking at the patterns that are consistent. But what's happened over this last year is you had a complete shutdown last year of drugs channels, as an example, and then shifted to e-comm and it shifted over to grocery stores. And now it's shifting back from grocery stores, back into the normal store traffic levels. Some get back into e-commerce. Still growing, but it gets back to where it was last year. So there -- certainly, your normal patterns don't apply and inventory relative to the customer and the way they are managing it and the way we track it, has a numerator and denominator is just not how much they have in the warehouse. You have to divide that by the consumer takeaway, right? So as that's coming up, with no change their weeks of inventory comes down and they are trying to adjust for that. So as long as the consumption continues to grow, the way it's going, we should be fine, but it is -- it's been an interesting one to track versus what has been something we're historically very good in, and then we would have to be good at.
Elliot Wilbur: Okay. And then maybe the last question for me. I understand many of the factors as to why gross margins underperformed external and internal expectations for the quarter. We still expect improvement in the second half of the year in both CSCA and CSCI. But trying to get a little bit better sense of what you think is now a good number in each of those segments or lack of a better term, sort of an aspirational target. I know we talked about 33% in the CSCA business. In the second half of the year, that may be a little bit more challenging to reach in light of some of these issues that we're talking about today, but is that still your longer-term expectation? That's kind of a good baseline number to improve off of. And a similar question on the CSCI business.
Murray Kessler: Yes. I mean, I'll answer it's and Ray feels free to jump in. The factors, as Ray said, we had a big bump in input costs in numerous areas, right? You can take the a -- if you're looking at Operating margin or versus Growth margin, just take the A&P, it's coming out of the fourth quarter when the second quarter just reversing itself from last year back to 2019. But the bigger issue is with a weak weak cough/cold season, now you're feeling on margin -- first off, those are high-margin items, so I'm actually, I know this may seem, a bit odd, but the reality is to have 20% of the business take a massive hit and still grow our franchise and hold it the way we did. But for the move in advertising and promotion, I think is pretty good. And it -- while we're weathering the storm because if you add that back in, we were relatively flattish at the Gross margin line. You don't produce as much you have, or you don't have as much bought in and cough/cold of a high-margin item. So you hit the -- the hit there on the top and then you lose it again in unfavorable plant absorption, right? Because we have certain plans that do nothing but run cough/cold products. So that's a negative hit. Your question about whether that is permanent. Of course, it's not permanent when the cough/cold season comes back, the throughput goes through the plant that on an absorbed overhead and is no longer a factor in future years. And you get the margin back, the Gross margin back on the sale of the cough/cold products. So there's a number of those that are temporary in nature like that. The longer-term input costs when it comes to freight difficulty getting some things out of China for oral care and others. Our purchasing people, originally, when we built the plan believed by the third quarter, we would be back to normal. Now they're saying, early next year, and that we would be all the way back to where it was before. We may give up a little bit of margin there. We're pushing harder on cost increases and don't lose sight of the fact that Ray said that for the first time in years, we were actually able to pass through price increases, which has not been the case. So our customers are working with us and some of those will start to affect it. That's a long way of me saying, I'm not backing off our margin goals. I don't think we'll get there in the second half of this year, but we will get there. Anything you want to add to that, Ray?
Ray Silcock: No.
Murray Kessler: We cover a little bunch more.
Elliot Wilbur: All right. Thank you.
Murray Kessler: Thank you.
Operator: Our next question comes from Chris Schott from JPMorgan. Please go ahead with your question.
Katarina Liskova: Hi. This is actually Katarina on for Chris. Thank you so much for taking our questions. And actually, I'll jump on your price increase comment. I think you've mentioned it this year for the first time in a while. Can you elaborate a bit more on the customer relationships and broader market dynamics that are enabling you to take price increases? And then my second question would be, can you talk a bit more on the demand trends that you've been seeing across consumer categories in July and maybe the first two weeks of August? Any early visibility into what 3Q could look like there? Thank you so much.
Murray Kessler: Okay. Well, on the latter part of the question, we did show through the first couple of weeks. Now we're on July --
Ray Silcock: Yes, currently 11.
Murray Kessler: [Indiscernable] of July 11, so that data that we put in a pill a couple of days ago, said through the middle of June, and we got in the latest period, so we brought that in. I'll just say that it moved those numbers up a little bit, not down. So from right now, the data that we have in consumer takeaway is through July 11. And through July 11, that trend accelerated, not -- it didn't slow down. So that's good news. That's the most encouraging thing, right? Because the shipments have to ultimately lineup and catch it has just taken a bit longer. Remind me, with the first part of your question, was the price increase, right?
Ray Silcock: Yes
Katarina Liskova: Yes
Murray Kessler: The Price increases. We normally, when we started this and I joined in the Perrigo 2 years ago, we were -- every quarter or a year, we were -- we had moved from a minus 1% to 2% price erosion the year-ago, about a 2% to 3%. Our goal was to get it back to minus 1 to 2 in the quarter on almost a year, it's flat so far. So that's a pretty big swing versus what we normally plan on a year because we would have budgeted, it'd be down 1% to 2% and that's help offsetting some of the volume reduction. So, you basically had a good job by the organization that had higher input costs of almost $19 million, $20 million that was completely offset by the purchasing group working their side. Then on the other side, you've had lower volume offset by pricing to some extent and by -- and the input costs. So all of those coming together and -- but for the A&P move would have had our EPS flat versus a year ago -- roughly flat versus a year ago. A few tax implications as well.
Murray Kessler: As it goes to customer relations, our customers, they're partners. On a normal circumstance, if they thought we were coming in just to take price increases for margin, or to boost our bottom line, they would resist that heavily, and in fact, push the other way under normal circumstances. When -- they're not blind. They see what's going on in the world and input costs, it's affecting them, it's affecting everybody. They see what's happening to their national brand competitors who have been taking price increases. So yes, they have partnered with us and have accepted these price increases as good partners.
Katarina Liskova: Great. Thank you so much.
Operator: [Operator instructions] Our next question comes from David Steinberg, from Jefferies. Please go ahead with your question.
Murray Kessler: Good morning David.
David Steinberg: Thanks. Good morning. Thanks. Thanks. A couple of questions first, in terms of new products low, I think you'd mentioned that you're expecting strong momentum in the second half. And so could you give us some flavor of some of the products you are launching? And then, further in the medium-term, thinking about potential RX to OTC switches. We discussed [Indiscernable] next coming up and you've discussed potential switches like Tamiflu, Cialis [Indiscernable] What line of sight do you have amidst potential switches and in fact could some big categories like dermatology or migraine break loose over time in your view?
Murray Kessler: Okay. Well, let's do the first one. First one, we have a number of new products that were recently launched, that are public. I'm not going to share anything that's not public. That's part of our move to be more of a consumer Company. We need to keep that confidential. But we haven't -- we've already shared with you that we have launched new versions of XL-S throughout Europe. We have launched Probify, which is a launch into probiotics throughout all of Europe a few months ago, and expect that to impact the second half of the year. We launched our hypoallergenic infant formula. We have signed deal with a meaningful new contract on a branded infant formula, that so far is looking incredibly promising. And we launched Burt's Bees infant formula. We had said that later in the year, Burt's Bees would be rolled out to a broader line of products, and that's happening as we speak. Those are just some examples. As it relates to Rx switch, I think the most relevant ones are relatively newer, You also have the combo product from Advil with ibuprofen, acetaminophen combination, Vasta Pro we're not through on having all the sizes on, our Voltaren equivalents yet. I mean, those are just a few. The big ones, whether -- when they come or not come, whether it comes at the Cialis and others will still continue to hear rhetoric as those companies are launching and spinning off their consumer divisions. So, yes, it's been a positive contributor and we expect that to continue.
David Steinberg: Okay. Just some follow-up. So in thinking about cough/cold season, I don't know if this is good research. But as we believe so that Australia had the lowest historic levels of cough/cold in 2021, we're just coming out of the winter season, even lower than last year's, with zero hospitalizations. Do you see any view too in the Australian market into what has happened in the U.S. this fall and winter? And then just a follow-up on the price issue. I know you said you're finally taking price versus price declines in the coming -- in the last few years. And the question is if the price was better, why did margins erode? Thanks.
Murray Kessler: Okay. Well, the second one is easy. The price was just offsetting input cost.
Ray Silcock: Also inflation.
Murray Kessler: Yeah, for all of it, inflation. So that was flat, was the impact of that. Australia -- I think Australia is an example of what would happen if the world shut down, but that is not the norm. For Australia, and we have an Australian Board Member who is -- are still incomplete lockdown and complete mask requirements. And I caveated in my comments that, if we went that far backward again, sure, that would be a risk to our plan. As it's happening now and schools reopening and lockdowns are pretty much gone around the world with -- there are some exceptions, we think things will open up and we've already seen a higher level of -- a significantly higher level of illnesses. And you see it in the consumer takeaway numbers that are so dramatic. So if you want me to ask if there -- if the world was the Delta variant, or some other variant, was to shut the world all the way back down again, would it have an impact on our business? Of course, it would. But I think there will be some masking measures, but it doesn't at least feel that way to us that anywhere in the world is willing to shut it down that hard day. Everybody needs to get the world vaccinated.
David Steinberg: Great. Thanks.
Operator: Ladies and gentlemen, at this time, showing no additional questions, I'd like to turn the floor back over to management for any closing remarks.
Murray Kessler: Thank you. As I said, this has been a challenging 18 months, for sure, but I'm proud to say that the team continues to make the adjustments and has -- is literally very close to right on track where we were, where we set up about 2 years ago with the transformation. You've seen -- I'm not going to go through the wheel again, but to sit there are a couple of years and say, despite COVID, we have completely reconfigured this Company despite taking a hit on cough/cold, which is only 20% of our business and to be still growing. To be in a year with these challenges and have already sold RX, which I don't think the world expected it and now have those resources which we're working hard on to drive even stronger results in our 3, 5 long-term promise. And to be making major, major progress where we've -- we believe we've cut in half the biggest risk to the Company from an uncertainty standpoint.
Bradley Joseph: The Company is still progressing and setting itself up long-term for ultimately making lives better through our self-care vision. So with that in mind, I like where we sit and I'm optimistic about the future and we just got to work our way through these inventory issues and input costs, which we will, but they don't change the fundamental strength of the Company and the long term trajectory and the benefits that we ultimately believe our investors will get from all of this hard work over the past few years. So I thank all of the employees who have helped make that happen, and I thank you for your interest in Perrigo.
Operator: Ladies and gentlemen, that does conclude today's Conference Call. We do thank you for attending. You may now disconnect your lines.